Genevieve Cunningham: Welcome, everyone, to the MPS First Quarter 2025 Earnings Webinar. My name is Genevieve Cunningham, and I will be the moderator for this webinar. Joining me today are Michael Hsing, CEO and Founder of MPS; Bernie Blegen, EVP and CFO; and Tony Balow, Vice President of Finance. Earlier today, along with our earnings announcement, MPS released a written commentary on the results of our operations. Both documents can be found on our website. Before we begin, I would like to remind everyone, that in the course of today's presentation, we may make forward-looking statements and projections within the meaning of the Private Securities Litigation Reform Act of 1995 that involve risks and uncertainty. Risks, uncertainties, and other factors that could cause actual results to differ from these forward-looking statements are identified in the Safe Harbor statements contained in the Q1 2025 earnings release and in our SEC filings, including our Form 10-K, which can be found on our website. Our statements are made as of today and we assume no obligation to update this information. Now I'd like to turn the call over to Bernie Blegen.
Bernie Blegen: Thanks, Gen. Good afternoon, and welcome to our Q1 2025 earnings call. In Q1, MPS achieved record quarterly revenue of $637.6 million, slightly higher than the fourth quarter of 2024 and 39.2% higher than Q1 2024. This performance reflected the ongoing strength of our diversified market strategy, consistent execution, continued innovation and strong customer focus. Let me call out a few highlights from the first quarter. At our March 20 Investor Day, we showcased MPS innovation across a range of areas, including new opportunities in robotics, automotive, data center, building automation, medical and audio. In Q1, storage and computing segment revenue increased 38% quarter-over-quarter on strong demand for both memory and notebook solutions. We continue to win designs across all major enterprise data customers with revenue ramps expected in the second half of this year. Finally, Q1 2025 automotive revenue increased 13% from Q4 2024, the third consecutive quarter of sequential double-digit growth. MPS continues to focus on innovation, solving our customers' most challenging problems and maintaining the highest level of quality. We continue to invest in new technology, expand into new markets and to diversify our end market applications and global supply chain. This will allow us to capture future growth opportunities, maintain supply stability and swiftly adapt to market changes as they occur. Our proven long-term growth strategy remains intact as we continue our transformation from being a chip-only semiconductor supplier to a full-service silicon-based solutions provider. I will now open the webinar up for questions.
A - Genevieve Cunningham: Thank you, Bernie. Analysts, I would now like to begin our Q&A session. [Operator Instructions] Our first question is from Tore Svanberg of Stifel. Tore, your line is now open.
Tore Svanberg: Yes. Thank you, Gen. And congratulations on a strong quarter, especially during this environment and especially the cash flows. First question is on enterprise data. So it did come in line with expectations, but you talked about some second half design wins ramping. Should we infer by that, that this is sort of the low point for enterprise data this year?
Michael Hsing: Yes. At this time, we feel, of course, when we're close to the second half of the year, so we feel a lot better. And overall numbers can be better. But at this time, we're not forecasting and how good is good, okay. And so we have a lot more confidence than at the beginning of the year.
Tore Svanberg: Great. Yes, go ahead, Bernie.
Bernie Blegen: I think it's important to say that we're engaged with many different programs, either that we have the design wins or the qualification. So it's very broad-based. It is Michael says, while our visibility is improving, clearly, the improvement is second half weighted.
Michael Hsing: Yes. That's a good comment. There is a – we do win many design – we have many design wins and customers design it in, and we're just waiting for the ramp.
Tore Svanberg: Great. Can I ask a follow-up?
Michael Hsing: Yes. Go ahead.
Tore Svanberg: Yes. So as my follow-up, Michael, I know over the last decade or so, you've been working really hard to diversify globally, whether it's R&D centers, manufacturing partners and so on and so forth. I was hoping you could talk a little bit about those efforts, especially given the current tariff environment. And how are those efforts really impacting your position right now?
Michael Hsing: Yes. That's a good question. Started 10 years ago, we start to emphasize, you have a local manufacturing for local customers. And the U.S. was out of China, started – particularly started in the last couple of years. And right after pandemic, I mean the volumes and we almost double – more than double our volumes and that we need to expand the fab capacities and the serendipities, and we all expanded outside of China. And at that time, the inside of China was full. And so now they give us a very good position for outside of China for supplying the U.S. side and as well as the inside China so now that we're in a much better position now.
Tore Svanberg: Great. Thank you for that. Congrats again.
Tony Balow: Tore, the only thing I'd add, right, from addition to the supply chain, right, the diversification approach has really been on the front end as well around R&D. So we've been looking both the design and the supply, that's really been a hallmark of the strategy over the long haul here.
Michael Hsing: Yes.
Tore Svanberg: Great. Thank you.
Genevieve Cunningham: Our next question is from Quinn Bolton of Needham. Quinn, your line is now open.
Quinn Bolton: Thank you. And I'll offer my congratulations as well on the strong results and outlook. I guess, Bernie, Michael, maybe a follow-up on Tore's question just on enterprise data. I think you came into the year thinking enterprise data could be anywhere from flat plus or minus 20%. It sounds like you feel a little better about the business now. Wondering if you might be able to sort of tighten up that range on enterprise data. And then specifically, one of your large customers sounds like there may have been a platform change. And I think some investors are concerned that, that platform change on their next-generation GPU could have an impact on your share. I'm wondering if you might be able to address just your thoughts about how you're positioned in share as you come into the second half of the year.
Michael Hsing: We were told by many customers, we offer a breadth of product that meets our customer needs. We don't comment on specific customers. And we don't – and also the matter of fact is we don't know which our customers projects are going to ramp, or they changing as you said, and changing the schedules, these are our concern and we don't know and their decision, but we have enough product, we can meet the demand. And we're winning – we feel better is because our customers recently qualified many of our products from the IC levels or to module levels. They passed many rigorous testings and they feel good about it and we see so we feel good about it, we expect it to have a ramp. So at this time, we are not going to forecast what's the half year, in the past, we said – last year, we said that this year could be a flattish in our numbers. Let's see, let us deliver numbers hopefully, it's better than we expected.
Bernie Blegen: Yes. And I think that Michael is right that we have increased visibility because of design win and the qualification processes down the road in another month. But still, as far as when the actual product ramps occur is outside of our control. So while I think that we feel more confident overall, the timing as far as the plus/minus against the range, let's leave it wide open for right now.
Quinn Bolton: Got it. And then maybe a follow-up question just Bernie on the second quarter guidance. It looks like gross margin ticks down by about 20 basis points at the midpoint. I wondered if you could just sort of address that. Is that just sort of mix shift within the product groups? Are you starting to see either tariff costs and/or pricing pressure? What accounts for the slight drop in gross margin in the second quarter? Thank you.
Bernie Blegen: Sure. There's not a specific event that we're pointing to. We're just saying that there's a mix of different things that may or may not be inside of our control. And so we're just being basically 20 basis points more conservative.
Michael Hsing: Yes. Overall, all the new products that we released will have higher margins, the higher volumes, the margins is lowered. But we're not going to intend to operate much below our corporate average. That's our goal.
Bernie Blegen: Yes. We stay within the range.
Michael Hsing: Yes. We stay with our model.
Quinn Bolton: Perfect. Thank you.
Genevieve Cunningham: Our next question is from Ross Seymore of Deutsche Bank. Ross, your line is now open.
Ross Seymore: Hi, guys. Congrats on the results and guide. Thanks for asking the question. Bernie, in the first quarter, you had a very wide and divergent performance by segment to get you still to upside overall. Just wondering if there's any large segment moves in your second quarter guide, any kind of big divergent moves that you'd like to highlight?
Bernie Blegen: No. Actually, the range of variance for all of the groups is plus/minus 5 percentage points. So actually, we're seeing a very narrow change sequentially. And it's worth commenting there that I believe that if we were heavily influenced by pull-ins, for example, that we might have seen a more dramatic falloff in a particular market segment. But when we look against particularly year-over-year, our strength is fairly broad-based with enterprise data, as we've talked about, still looking for the ramp in the second half of the year.
Ross Seymore: Got it. And I guess that leads to my second question, which was going to be something you kind of just touched on, which is the tariff side of things. I know you talked earlier about diversifying your manufacturing and Tony mentioned about diversifying the R&D side of things. But as far as the pull-ins, push-outs, any sort of different behavior from your customers, I've been surprised how little of that has been admitted to or has actually occurred by some of the other analog companies. And so I just wondered what you guys are seeing.
Michael Hsing: If it happens, there's some pushing and pull out and pulling a pull out and a push out. And those are numbers small enough we don't clearly understand it, okay? And the overall numbers is very consistent. As you see it, Bernie mentioned the Q1 the computing segments grow the revenue growth, so that's also as expected from last – the previous quarters. We have a lot of design win in those areas, and we turn into our revenues.
Tony Balow: And Ross, like in that area, for sure, right, there's a lot of other business factors beyond just potential tariff-related pull-ins because there's AI PC, there's the end of Win 10 support, there's gaming. There's a lot of things that are driving the good business there as well.
Michael Hsing: Yes. The key is the diversification. And the best thing I can't – I can look at the numbers, I can't have any target number that I want to analyze, okay? Everything looks very smooth.
Ross Seymore: Got it. Well, let's hope it stays that way. Thanks, guys.
Michael Hsing: Yes. Okay.
Genevieve Cunningham: Our next question is from Rick Schafer of Oppenheimer. Rick, your line is now open.
Rick Schafer: Thanks, Gen, and congrats guys on the solid quarter. I guess my first question, if I could, is really on data center or server power, rack power to be specific. You talked about your 400-volt rack power solution at Analyst Day. I think you highlighted like 600 kilowatts within a couple of years. I mean we're seeing more in the press about even megawatt racks within the next handful of years. So I'm just curious if you could elaborate on the expected market opportunity or TAM there and sort of when rack power sales are expected to become material for MPS?
Michael Hsing: Yes. Our customer asked us to pull in, I believe with this month, we start – if not this month, next month, we deliver samples. I think this month, okay? We deliver modules, each module level is like 120-kilowatt levels. And for each modules, you add together somewhere about 600,000 kilowatt to 1 million watt power. And so we do have a product for that. And well, we do have initial development, now we have samples, okay?
Rick Schafer: Michael, not to press you on it too hard, but would we see revenues like material revenues this year? Or is this more of a sample year, qualification year and it's more of a 2026 revenue driver?
Michael Hsing: I believe it's 2026, okay? And if you – we expected to have a higher revenue come from that type of modules. And so at the same time, we prepare our production ramps, production qualifications and there's a lot of work in the second half of the year. But we fully expected it and we anticipate that part of the growth.
Rick Schafer: Thanks for all that, Michael. And then my second question is really on auto and to me, I think you have several like material content drivers ramping this year. You look at 48-volt transition beginning 800-volt battery transition. You've talked about power isolation modules. I know you talked about that at Analyst Day also. I guess I'm curious, kind of a similar question in terms of like how much do you expect BMS to contribute to that segment to auto segment revenues this year? And I guess I'm curious if there are any regions favored within that.
Michael Hsing: Yes. Of course, China's model changes much faster than any other regions. But we do see in the U.S. and Europe, even Korea, okay, we're changing and changing not only from 400 volts to 800 volts and also from 12 volts to 48 volts. And those segments started very – these are still early at the very early stage. And we do ship those products now, okay, to those segments. And I believe all the early changes, we are all in it in every model.
Bernie Blegen: Yes. And I think in automotive, in particular here, because we've heard some concerns about unit volumes from North American and Chinese EVs in particular. But when we look at our second half, a lot of the momentum will be design wins that we secured in previous years that are coming to market, particularly in North America and in Europe. So we have really – it's a content-driven second half story for automotive.
Michael Hsing: Yes. What you mentioned about 800 volts, 48 volts and those probably we'll see a lot more in the 2026 and 2027.
Rick Schafer: Great. Thank you, guys.
Michael Hsing: Okay.
Genevieve Cunningham: Our next question is from Joe Quatrochi from Wells Fargo. Joe, your line is now open.
Joe Quatrochi: Yes. Thanks for taking the questions. I wanted to follow-up on your comments on the storage and computing segment. I can appreciate you guys are seeing some design wins ramp. I guess as we look forward here, just given like the abnormal seasonality, strength that you saw in 1Q, how do we think about that business kind of throughout the rest of this year?
Michael Hsing: Are you talking about seasonality? I don't know. Nowadays, the proper MPS of being a public company now 21 years. And in recent years, I don't know what the seasonality is. But we talk about the design wins in the memory side, okay, the memory part of the power management. And we're talking about for the last year or two or so. And I think at one time, we will ramp up this year, but we don't know these are kind of things plus/minus quarters, and you get it close to us and you get orders by the end of the quarter, they don't push up. Now here's the numbers. And we're not very good at forecasting the numbers, but we are good pretty good at delivering numbers.
Bernie Blegen: But I think a really important point here as well is that how broad-based this is. So we're looking at DDR5, SSD, even HDD on the memory side. And then as Tony pointed out previously that within the notebook that there are a variety of factors that are driving that end market as well. So...
Michael Hsing: CPU side, notebook side, CPU side, desktops and notebook side. And Bernie mentioned all these segments, these are pretty evenly growth, maybe memory side, the DDR5 is a little bit more than the other ones. But they're pretty much evenly growth in all each segments.
Tony Balow: Yes. And Joe, just relative to what Bernie said before, going into Q2, everything is plus or minus a couple of points kind of thing. So you would infer from that, that, that segment would not see a sharp fall off necessarily in Q2.
Joe Quatrochi: Yes. No, that's helpful. I appreciate it. Maybe as a quick follow-up. Looking at the enterprise data side, maybe on the non-AI segment of that market, how are you thinking about traditional server CPU demand this year?
Michael Hsing: They're doing good. And as you probably know, listen, okay, all these are a lot of servers has a refresh, adopting whatever the Intel's the latest models. And we expected – as we said it in the beginning of the last year, the year before, we will increase our market shares. And now we're pretty much okay. And we see as we said it, and years ago, last year.
Bernie Blegen: And I think just to stay on that point for a little bit longer is that, again, much like the other areas of our business, we're seeing consistent steady growth. It's not like a spike or a hockey stick.
Michael Hsing: We will gain shares in the next year, I think we even gain a higher percentage in the server market.
Joe Quatrochi: Perfect. Thank you.
Michael Hsing: Okay.
Genevieve Cunningham: Our next question is from Gary Mobley of Loop Capital. Gary, your line is now open.
Gary Mobley: Hey, guys. Thanks for taking my question, and congrats on the solid first half performance. On the topic of China, can you give us a sense of how big your business now is in China relative to local indigenous consumption? And given your China for China manufacturing supply chain, how has that and how will that position you versus your larger U.S. competitor?
Michael Hsing: If you know our story, this is – a lot of design and a lot of design activities and a lot of manufacturing happening in China 10, 15 years ago. And started 2016, we diversified not only from the – before the U.S. and China and started 2016, 2017, we established placing in Europe, multiple places since then. And as I mentioned, before mostly our manufacturing partners that's in China after the pandemic, we migrate a lot by serendipity, I said earlier. And as a result, was the capacity within China. So we announced. And so I don't know how we engage with our competitors, okay, if there's any concentration or concentrated in the U.S. for production or concentrated in China in the current environment, neither of a good. You need a really balanced. And in China, your manufacturing, particularly manufacturing for China in the U.S. is outside China, and the same as Europe.
Gary Mobley: Okay. As my follow-up, I wanted to ask about capacity and customer order lead times. It appears as though you have almost half a year's worth of inventory on your balance sheet. And you probably have infinite manufacturing availability, at least in the intermediate term.
Michael Hsing: No. Quite infinite. Yes, so we have a lot. Yes. Okay. Go ahead. Sorry.
Gary Mobley: So my question is, have you seen any sort of uptick in customer order lead times? And related, has that improved your visibility or your backlog or any of those forward-looking metrics?
Bernie Blegen: So as far as the inventory, let's take that on first off, is that we're a little bit – our model is to hold about 180 to 200 days on our books, and we're well below that level right now. When we look at inventory in the channel, we also see that, that is very lean against what we typically experience or what our model is. As far as the lead times, they're actually holding pretty well as far as what we're seeing in the supply chain. And as I've commented in prior comments that in certain of our end markets, they do demand short lead times, and so we have to build ahead of their demand. I think though, right now, we have a lot of flexibility, we're very well positioned regardless which way the market goes.
Michael Hsing: Yes. If you know our – we targeted 180 days to 200 days for many, many years, and – because for the new – all the new product ramp. And in Q1, I don't know if you remember, as I said, the inventory levels very low, both from our – both from a disti levels and as well as within MPS at the very low levels, I may even said it, it was unhealthy levels, too low. And overall, our strategy is we always hold more inventory than in disti. And we have a better management.
Gary Mobley: Thank you.
Genevieve Cunningham: Our next question is from Joshua Buchalter of Cowen. Joshua, your line is now open.
Joshua Buchalter: I wanted to follow-up on Joe's question from…
Tony Balow: Josh, are you there?
Michael Hsing: We can't hear. Oh, I cannot hear you. Now it's better.
Tony Balow: Yes. I can hear you now.
Michael Hsing: Nope. Now it's cutting out.
Joshua Buchalter: Oh, no. Last try. Good?
Tony Balow: There you go. We can hear you.
Joshua Buchalter: Okay. I'm sorry about that, guys. It's my first time on Zoom. I wanted to follow-up on Joe's question from earlier on storage and compute. I totally appreciate the share gains that you mentioned, but the 38% sequential growth in what's usually a sub-seasonal quarter for PCs is certainly eye-popping. Are there any more metrics you can give us as to maybe content or share shifts that are going on and to give us comfort that there's not inventory build happening here? Thank you.
Michael Hsing: Well, in the past, we have a few eye-popping numbers, right? So we didn't surprise it. I mean, as we said, it's a pretty evenly growth in the segment, particularly a little bit more than the DDR5 as we said a few quarters ago. Bernie, do you want to…
Bernie Blegen: Yes. Josh, you might recall from my comments from year-end when we were looking at the Q1 outlook, and I said that there was an atypical seasonal uplift anticipated in storage and compute. And against our internal expectations, we came in within low single-digit performance to the upside. So while it maybe counter to whatever seasonality we've experienced in the past, everything rolled out pretty much as anticipated.
Tony Balow: Yes. We have…
Michael Hsing: Okay, go ahead.
Tony Balow: And Josh, just remember that storage compute, you heard Michael say it before, it's growth from both the memory side as well as the notebook side. So it's not all notebook driven that might apply to your seasonality question.
Michael Hsing: And a desktop. And here is we have always – particularly in the last couple of years, and the market is very dynamic. And you see one segment popping up. The other one segment is not so much. And in the last couple of years, you see more. This quarter, is storage and the compute. Last quarter, I don't know, auto, before was enterprise, okay? And we keep like running like a circle.
Joshua Buchalter: Thank you for the color. And then I wanted to follow-up on enterprise data also. You mentioned the increased confidence versus three months ago. Is that coming from your biggest customer in that segment? Or is that more confidence in some of the newer platform wins that you expected to ramp in the second half? And within that, like are lead times still measured in weeks? And when would you expect to, I guess, have more visibility onto the share in enterprise data?
Michael Hsing: Do you imply, we circle back. We feel as the time – as closer to the second half, we feel better, as always, and we have a more clear visibility. Bernie?
Bernie Blegen: No, that's exactly right. We've talked about this in the past. It's not just the main customer, but some of our other customers are operating with shorter lead times. And as a result, we feel very good about the design wins, the qualifications. And as I mentioned earlier, it's really the timing of when they expect to ramp. But even within that, we're getting increasingly more confident.
Michael Hsing: Are you talking about large customers, small customers, when we're looking at all these, they all can be very big, they can all be very big.
Joshua Buchalter: Congratulations on the results and apologize for my technical difficulties again.
Michael Hsing: No. Okay. Thanks, Josh. Okay.
Genevieve Cunningham: Our next question is from William Stein of Truist. William, your line is now open.
William Stein: Great. Thanks for taking my questions, guys. Two topics. I wanted to hit on tariffs and then I wanted to hit on some growth opportunities. On the tariff side, people have asked a bunch of different questions, but I wonder if you'd help us understand if there are any direct as in unit costs and unit pricing impact that's influencing your Q2 guidance? And is there any indirect or unit demand impact influencing your Q2 guidance?
Bernie Blegen: No to both questions.
Michael Hsing: Yes, yes.
William Stein: And then at the Analyst Day, you showed some pretty unique products for a semiconductor company. The sort of finished full up the products. As I recall, there was a sonogram. I think you threatened to list that on Amazon, if I recall, but also building automation, you had audio amplifiers. I can't imagine that these are contributing meaningfully to revenue. But I wonder what your customer – either established customer or emerging customer reaction was to this. Did you see anything worth noting that could drive future demand that we want to think about?
Michael Hsing: All I try to do is, as Bernie said earlier, we want to have a silicon-based solution company. I want to monetize our know-how. And for examples, building automation box, we did it. And you add a lot of chicken stuff in the box. So we sell sub $0.50 for all of our products. We added together and we put some software or most of our products is the programmables and now we're making MCUs, we put all together. It can be a very good viable solution for a lot higher dollars and same as ultrasound areas. And these are, to me, very interesting, we can leverage our know-how sell instead of sell $1, $2 parts, now you start to sell thousands, ten thousands dollar stuff. And our customers and sometimes and they are related to our customers. Our customers, they buy – we're talking to a different level of people. We're not talking to engineer anymore, we want to have cooperating with the large companies, we have those solutions. And you can sell – you can buy the entire solution, you can have like a white box, you label it. And or another way is you buy our modules and rather than the chip. It just take much of an effort from their hand. And we do things because we do silicon. We do silicon and we know we can know the module levels and we structure out a little bit with adding more software, it's the entire systems. And depending on the level of our customers' interest, we can engage with them in the chip levels and the module levels on the system levels. And we just want to provide more. And that's our know-how. We leverage our know-how, leverage on the silicon. And I contacted several very, very large companies. They are the leader in the area. There's much, much welcome to these kind of solutions. They want to work with us, and they want to work with us. And this is at the very beginning. That's kind of things we are transforming a company from a silicon only to a solution company. These are the ones. I think we – that's how we – from a silicon to module we grow out of the silicon company, then from our modules, we probably stay in the module level. We are never going to sell blinds and shades or blinds and air conditioning. We are – these are still in the module levels.
William Stein: Great. Thank you.
Genevieve Cunningham: Our next question is from Chris Caso of Wolfe. Chris, your line is now open.
Christopher Caso: Yes. Thank you. First question is with regard to the power for some of the custom AI projects this year. Could you detail how significant that is for the enterprise data segment this year? And maybe some idea of what the content is on that as compared to the largest customer in that segment?
Bernie Blegen: So when I look at the opportunities, particularly with AI, the products are only getting higher power and they're getting smaller footprints. And it's that area of innovation where we can help lead our customers to their end solutions in a way that our customer – our competitors aren't. So right now, the market has been dominated with really one main customer. And now as we see the second half of the year, in particular, there's going to be a number of new market entrants, and they're all with the same formula.
Michael Hsing: Including a big and small. And the small looks like it will be a big. And the dollar content is it's in half years or years, a few hundred million dollars, okay? I mean it's $500 million, $600 million. These are – it's not unthinkable for half years.
Christopher Caso: Got it. As a follow-up question, maybe I'll dig into some what you talked about on the confidence on the enterprise data as you go through the year. And I guess maybe a little more detail of why you feel a little more comfortable now as compared to where you were at the beginning of the year. Is it simply a matter of qualifications where you're now qualified on platforms that you may not have been qualified on at the beginning of the year? Is it more confidence with regard to market share on those? Just a little bit of what is driving the confidence for the year as compared to where it was 90 days ago.
Michael Hsing: Well, the year is half year. And now the half year, almost half year later, and you feel bad or feel good and it's all going to happen as we're getting closer, okay? And so we see the results as we expected it.
Bernie Blegen: Yes. I say that we've got more positive data points that we can look at. But still how that converts in the year, that's why I mentioned earlier that we're operating within a range of outcomes.
Michael Hsing: Yes. And just we always – one thing we're good at looking in the past, we're pretty good at it as we said.
Christopher Caso: Yes. Thank you.
Genevieve Cunningham: Our next question is from Jack Egan of Charter. Jack, your line is now open.
Jack Egan: Great. Thanks so much for taking the questions. So I was hoping you could talk a bit about the margin outlook for some of the new accelerator ramps in the second half and into 2026 and 2027. Is there really like a structural difference in the margin profile for those products going into custom ASICs and TPUs versus GPUs, whether better or for worse? I mean, really just any similarities or differences as to how that kind of long-term trajectory plays out would be helpful?
Bernie Blegen: I wouldn't say that there's a structural change. You have individual opportunities that could be plus or minus. So this market – but there isn't a fundamental change in our margin model because of it.
Michael Hsing: Yes. MPS, we want to operate well within our model, we are at the lower end, and we are very much aware of that. And we want to do is we're not going to high volume, low-margin business. It doesn't matter which area. And all these new products, I said earlier, we released, we all have higher margins. And we want to stay on the best performance. We're not competing on the price.
Jack Egan: Okay. Got it. That's helpful. And then I guess for my follow-up, as it kind of relates to just the broader analog cycle across end markets, if you kind of strip out Monolithic's new design wins that are ramping and share gains, are you seeing any signals that end demand broadly in maybe some of the more downtrend markets is starting to increase? I mean I'm not sure if you can really separate those factors out. But if you're looking at markets like automotive and industrial, is there anything that gives you confidence that maybe those markets are actually turning around?
Bernie Blegen: I think for MPS, it's impossible to strip out the revenue ramps from new products. I know that we've had a competitor or two that have announced that they've seen a bottoming out or potential improvement. Again, our story has to do with the new product revenue ramps. And in particular, we've talked a lot about the second half as far as enterprise data, but I don't want to ignore all of the other opportunities in all of our other end markets. So we feel very well positioned regardless of the macro for both the second half of this year as well as the momentum we're carrying into 2026.
Michael Hsing: Yes. For – if you know the history, for 21 years as a public company, we only have one year, 2010, we – the year we didn't grow, we missed $3 million. Every year, we grow.
Jack Egan: Right. Okay. That’s super helpful. Thanks so much.
Genevieve Cunningham: Our last question is from Kelsey Chia of Citi Research. Kelsey, your line is now open.
Kelsey Chia: Hi, Michael and Bernie. Thanks for taking my question. So I'd like to dive deeper on the gross margin side. So it seems that legacy wafer pricing is trending down and also you are talking about new ramps in enterprise data and auto. So is there room for gross margin expansion going forward in the second half?
Bernie Blegen: Of course, there is room for gross margin expansion.
Michael Hsing: For second half, no. Yes. We're not going to increase the price to our customer, okay? For next year, that's very positive.
Bernie Blegen: Yes, yes.
Kelsey Chia: Okay. Right. And I'll also like to tap into on the communications end market. So I believe that segment is also benefiting from the AI infrastructure build-outs. I believe on the optical module side. Could you provide more color on those applications? And also, when can we expect – can we expect sort of, like, a similar ramp to these enterprise data, the second half uptick for this year?
Bernie Blegen: Sure. It was interesting because the way we look at our communications market is we have, obviously, the network telecom exposure. We have the router wireless modems. And more recently, we have optical fiber optics. And I would say that when I look at the last two quarters and the outlook for Q2, it's been very balanced. It hasn't been weighted by any one component. And that that’s what we’re seeing. We already talked about that as far as storage and computing and in automotive in particular.
Kelsey Chia: Okay. Thank you.
Michael Hsing: Yes. All right.
Genevieve Cunningham: This concludes our Q&A session. I'd now like to turn the webinar back over to Bernie.
Bernie Blegen: So I'd like to thank you all for joining us on this conference call. I look forward to talking to you again during the second quarter 2025 conference call, which will likely be held in early August. So thank you. Have a nice day.
Michael Hsing: All right. Okay.